Operator: Good morning and welcome to the Trinity Biotech announce its First Quarter 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joe Dorame. Please go ahead.
Joe Dorame: Thank you, Steve. Good morning and thank you for joining us to review the financial results of Trinity Biotech for the first quarter of 2018, which ended on March 31, 2018. With us on the call representing the company are Ronan O'Caoimh, Chief Executive Officer; and Kevin Tansley, Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. Before we begin with prepared remarks, we submit for the record the following statement: Statements made by the management team of Trinity Biotech during the course of this conference call that are not historical facts, are considered to be forward-looking statements subject to risks and uncertainties. The Private Securities Litigation Reform Act of 1995 provides the safe harbor for such forward-looking statements. The words believe, expect, anticipate, estimate, will and other similar statements of expectation identify forward-looking statements. Investors are cautioned that such forward-looking statements involve risks and uncertainties, including but not limited to, the results of research and development efforts, the effect of regulation by the FDA and other agencies, the impact of competitive products, product development, commercialization and technological difficulties, and other risks detailed in the company's periodic reports filed with the United States Securities and Exchange Commission. Forward-looking statements reflects management analysis only as of today. The company undertakes no obligation to publicly release the results of any revision to these forward-looking statements. With that, let me turn the call over to Kevin Tansley, Chief Financial Officer. Kevin?
Kevin Tansley: Thanks very much, Joe. Today, I'll take you through the results for quarter one 2018. Beginning with our revenues, total revenues for the quarter were $23.8 million, which represents an increase of approximately $300,000 versus quarter one last year. Ronan will provide more details on revenues for the quarter later in the call. So I'll now move on and discuss few other aspects of the income statement. Our gross margin this quarter was 43.8%. This represents a significant improvement on the 42% achieved in quarter one last year. In fact it is the highest margin we've reported in six quarters. On recent calls, I have been saying that we expected margins to improve and this movement is consistent with our expectation. However, I will point out that there are variety of factors which impact on margin each quarter, such as sales mix, currency and production levels and thus we can still expect some fluctuations in the quarters ahead. Moving on to our indirect costs, overall our indirect costs have remained in line with quarter one 2017. Specifically our R&D expenses remained static at $1.3 million, while our SG&A expenses decrease slightly from $7 million to $6.9 million. This reduction was then offset by an increase in our share option expense. And as a result of the higher revenues, improved margin and indirect cost management has been an improvement in operating profit from $1.3 million to $1.8 million, which represents an increase of over 38%. Moving on to our financing costs, due to the impact of the exchangeable notes, our financial income for the quarter was $205,000 versus $177,000 in the comparative period. This reflected slightly better deposit interest rates. Financial expenses were just under $1.2 million for the quarter, which is consistent with quarter one 2017, and the vast majority of this relates to the cash interest element of the exchangeable notes. Similarly the non-cash financial expense of $300,000, which is disclosed further down the income statement also relates to our exchangeable notes with non-cash interest of approximately $200,000 and a loss of over $100,000 recorded for the change in fair value of the derivatives embedded in the notes. Our tax charge for the quarter was $132,000 and this represents an effective tax rate of 7% of the operating profit, which is broadly in line with last year. As in previous quarters, we continue to receive the combined benefits of the very competitive Irish Corporation tax rates and R&D tax credits arising at a number of jurisdictions, as well as the improve federal tax rate in the USA. And as a result for the quarter is a profit of $400,000. However excluding non-cash items, profit for the quarter was $700,000 versus equivalent figure of $200,000 last year. The basic EPS for the quarter excluding non-cash items increased from $0.01 per share to $0.034, meanwhile fully diluted EPS also increased this time from $0.05 to over $0.07. Finally on the income statement, earnings before interest, tax, depreciation, amortization and share option expense for the quarter was $3.3 million versus $2.7 million in quarter one, 2017. I'll now move on and talk about the significant balance sheet movements since the end of December 2017. Property, plants and equipment has increased by over $1.2 million. This is due to additions of $1.6 million being offset by depreciation of $300,000. In the same period intangible assets increased by $1.7 million and this was made off of additions of $2.4 million offset by amortization of $700,000. Moving on to inventories you will see that these have increased by $1.4 million to $34.2 million and this was partially due to timing factors, which resulted in higher HIV inventories as well as the buildup inline products in advance of the mainline season. Trade and other receivables have increased by $1.4 million to $22.1 million most of this increase was due to increase in prepayments, few in this case the renewal of certain annual contracts such as insurance and IT support, which tend to occur at the beginning of the year. The remaining increase was due to a slight drift in cash collection from customers though on an overall basis cash collections have remained very healthy. Meanwhile our trade and other payables including both current and non-current have increased from $21.4 million to $22.2 million. The majority of this increase is attributable to an additional quarter of accrued interest of $1.15 million in relation to the exchangeable notes. The remaining movement is due to the timing of raw material purchases and vendor payments. Finally I'll discuss our cash flows for the quarter, cash generated from operations for the quarter was close to $600,000 compared to only $59,000 during the equivalent period last year. So contained within this there are negative working capital movements of $2.7 million due to higher inventories and accounts receivable balances, which I referred to earlier on. I would like to point out this that we did experience these same phenomena at the same time last year. Capital expenditure in the quarter was $4.1 million, which represents an increase over the same quarter last year, partially due to payments in respect of our new Brazilian facility. And the other major cash movement for the quarter was share repurchase payments of over $400,000, just note that this includes some payments in respect of purchases made in late 2017. And that result is that we had a decrease in cash for the quarter of approximately $3.7 million bringing the quarter end balance to $53.9 million. I'll now hand over to Ronan.
Ronan O'Caoimh: Thank you. I'm going to review our revenues for quarter one before opening the call to question-and-answer session. Given that we announced our year end results only seven weeks ago I'll be brief. Our revenues for quarter one were $23.8 million compared with $23.5 million in the corresponding quarter, which is an increase of 1.1%. Point-of-Care revenues were $3.8 million, compared with $4 million in the corresponding quarter, which is a decrease of 5.8%. Clinical laboratory revenues were $20 million compared with $19.5 million in the corresponding quarter, which is an increase of 2.5%. Moving back to Point-of-Care, our revenues decreased this quarter by 6% when compared with the corresponding quarter. Our U.S. HIV revenues decreased 9% and this is explained by the fact that public health spending in the United States on HIV testing continues to decrease. Moving on to Africa, our HIV sales increased by 3% when compared with - increased by 3% when compared with the corresponding quarter. However we did not believe that that is the market R&D our market share have diminished. We mean that this movement is consistent with positive nature of NGO [ph] purchasing. Over the past 15 years our Uni-Gold product has dominated the confirmatory HIV market in Africa, with approximately 90% market share. During that time we have not participated in any way in the much larger HIV screening market in Africa market that is at least 10 times greater in volume terms. Over past three years we have developed HIV screening product for the African market, which demonstrate performance characteristics that equal the performance of our Uni-Gold product and matches or exceeds the performance of the market leaders in African HIV screening. And the product is currently undergoing independent trials in the African market and would be submitted to the WHO for approval towards the end of this year. We believe that we can take a significant share of the African HIV screening market, given the quality of our product and our long standing reputation for providing the gold standard confirmatory product into the market. Moving onto clinical laboratory, our revenues increased by 2.5% from $19.5 million in the corresponding quarter last year to $20 million in the current quarter. In infectious disease our revenues declined 6% compared to corresponding quarter last year. This reflects the gradual decline of our U.S. ELISA Infectious Disease business, as the five figure diagnostic companies continue to add more and more of our product offering onto their large immune assay instruments. Our diabetes and hemoglobin variants business, performed strongly during the quarter, with revenue increasing 9%, with strong instrument placements in all of our principle markets with the exception of Brazil, where we've made modest placements during the quarter, despite strong demand for the product. This arises due to the weakness of the Brazilian real. However, we have now completed the development of our new factory and expect to be in production there by year-end following the receipt of the necessary regulatory approvals. At that point the savings that arise on import duties and sales tax will enable us to recommence the placement of instruments into the Brazilian market. Meanwhile our Premier Resolution instrument, which serves the hemoglobin variant market for sickle cell anemia and thalassemia has performed strongly. This is the high value market with few competitors and we believe that we'll have best-in-class instruments that we can take significant market share. Moving on to autoimmunity, this business performed well during the quarter with an 8% revenue increase. We have consistently growing this business since its acquisition and believe that it will be a really growth engine for the company and we believe that double-digit growth can be achieved this year. The reference laboratory business has been the best performing part of the business, with significant growth coming from our Sjogren's test and from the growth of our business with the two U.S. mega labs. However, the great potential in our autoimmune business is in the product revenue side. We believe that we have a best-in-class immunofluorescence products range. But in order to better leverage the quality of this product range, we are currently developing a new instrument. This instrument will be completed by the end of 2019. And is an automated integrated immunofluorescence processor and reader, which will eliminate the requirement for the use of microscopes in most instances. We believe that the impact on our autoimmune business will be transformational. And I will now hand you back to the moderator for a question-and-answer session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Jim Sidoti with Sidoti & Company. Please go ahead.
Jim Sidoti: Good afternoon, can you hear me?
Ronan O'Caoimh: Hi, Jim, how are you?
Jim Sidoti: Well, I am well. You talked about the Brazil facility, you said that the capital spending was up, I assume because of that plant property and equipment were up. Can you give us timing on when you think that facility will be up and running?
Ronan O'Caoimh: So the facility is completed at this point in time, we've done production batches and we need to send results to ANVISA which is the Brazilian Regulatory Authority the FDA equivalence, but in addition to that we actually need the facility itself to be approved so there is kind of a double hurdle to be completed before we can actually sell into the market. So our best estimate is that we will have achieved both of those hurdles by year end.
Jim Sidoti: Okay. And similar question for the clinical laboratory business, you said that the new product that you're working on, when do you think that will be released?
Ronan O'Caoimh: I mean our Premier Resolution instrument is completed and is now in the market. So the product that we are dealing with now is the autoimmune immunofluorescence reader and processor. And that is the project that's been ongoing now for about the last nine months and we estimate that we will be into the market with an FDA approved product by the end of 2019.
Jim Sidoti: Okay, all right. And then the last question, last call you thought that low single-digit revenue growth was achievable for 2018, do you still feel that way?
Ronan O'Caoimh: Yes, we are still exactly in that space. So, we had indicated zero to low single-digit and we are comfortable on that. We obviously hope to exceed it, but that's what we're indicating.
Jim Sidoti: Okay, thank you.
Ronan O'Caoimh: Thanks, Jim.
Operator: [Operator Instructions] And our next question comes from Paul Nouri with Noble Equity Fund. Please go ahead.
Paul Nouri: Hey, good morning guys.
Ronan O'Caoimh: Good morning, Paul.
Paul Nouri: Has there been any significant progress made with the Syphilis test on an annual basis are we in seven figure territory or no?
Kevin Tansley: We are at about $1.3 million, Paul. So the progress on that products has been disappointing and I think the CDC are - basically seem pretty ambivalent [ph] really and they are not giving it any support and that's proving a practical difficulty for us. But we are getting very gradual growth, but our assessment at this point in time is that this is the market of somewhere between $2 million and $3 million of maturity.
Paul Nouri: Okay. Yes, I mean, I have seen increased spending on public awareness campaigns for getting tester for Syphilis somewhat a little surprise that I guess that they are not investing more in purchasing the test. Do you think that they are holding back on funding for the Syphilis test or just not enough people are coming in to get tested for it?
Ronan O'Caoimh: What's transpired has been a surprise, because when we were going through the process of China get an FDA approval and then a clear waiver. The CDC were full square behind us in terms of supporting us and trying to cajole the FDA into giving us a green light. And as soon as we achieved this they seem to lose enthusiasm and indeed we are now in a situation where they are conducting trials to try and really satisfy themselves that that is Syphilis test actually serves a useful purpose as in basically. Will public health service Syphilis testing actually uncover positive steps would otherwise not be uncovered. And we are satisfied that the answer to that question will be a very solid, yes a resounding yes, but they need to be satisfied on that. And they are conducting trials, using our product to try and form a view on that. And in the event that the results will be positive in terms of indicating that actually Syphilis test have a very useful purpose, then I think their attitude may change and go from kind of inactivity to positive support. But we have to wait and see if that transpires, but for the moment they are just inactive and they won't.
Paul Nouri: Okay. And to what extent the currency movements affect the revenue this quarter over the prior year?
Kevin Tansley: Very little to be honest. One good thing that's happened in the last couple of quarters is that the headwinds that has in currency movement has seized, but this quarter there was a mix bag we had some improvement in relation to the euro. However, that was offset largely by a deterioration in the Brazilian riyal. So the net impact was a very slight tailwind, which is actually good to see as I say we have come from a position of having a quite a headwind in the past and now we're broadly neutral if not very slightly favorable.
Paul Nouri: Okay. And China continue to be a good market for the Premium Instrument in the quarter?
Ronan O'Caoimh: Yes, the - yes, it has done reasonably well, but it's not as strong as in previous quarters. We have actually increased our price into the Chinese market for our instrument, somewhat in that as given rise to slightly lower sales. And it's probably reflected now and that would be one of the contributors towards the better margin that you are seeing this quarter. So basically we had been putting instruments into the Chinese market slightly below costs. And so we have brought the price back up to just above costs. So - but we have a very strong - I mean we've over 300 instruments in the Chinese market and I think at this stage we're beginning to concentrate more on the making those existing instruments work better rather than just pushing more and more instruments in as a negative margin.
Paul Nouri: Okay. And final question, do you see any value in improving the working capital situation in terms of inventory and accounts receivable? I know you gave a little bit of an explanation as to why accounts receivable went up. Do you think there is any room for improvement there or do you think it's just a result of you being in so many different markets?
Kevin Tansley: In terms of the accounts receivable side, it's accounts receivables and prepayments and as it happens most of the increase happened in the prepayments and that's because of the time of year, a lot of our contracts are annual for example the IT maintenance and insurance I referenced those two so you end up paying for 12 months at the start of the year and you unwind it during the year. And you would have seen the same phenomena last year that's why we had a working capital movement, which was negative last year as well. We did as a slide drift in terms of debtor days, but not to the extent which it was a concern. So there is a little bit of scope for improvement there. However, I would say that our data collection has been - historically has been very strong and therefore there is limited improvement. But obviously working capital is something we do look at strongly. If you look the last three quarters, the last three you would see reasonably favorable movements in that regard and it was in quarter one we saw a negative. So, we're seeing the same phenomenon this time around as well.
Paul Nouri: Okay, thanks.
Kevin Tansley: Thanks, Paul.
Operator: [Operator Instructions] And our next question comes from William Lap. Please go ahead.
Unidentified Analyst: Good morning.
Ronan O'Caoimh: Hi, Bill, how are you?
Unidentified Analyst: Good. Two questions, how many instruments did you place this quarter?
Ronan O'Caoimh: 65 Premier instruments.
Unidentified Analyst: Okay. And then on the issue of the screening, I thought you were going to have it done before the end of the year. How - what's your prognosis on this and your forecast of getting it through the World Health Organization. Are you pretty optimistic?
Ronan O'Caoimh: Well, at the moment we're conducting independent trials and we estimate that they would be finished probably around the end of quarter three. And then at that point in time then we will submit to the WHO they will review, they may or they may or not do a factory inspection I think they probably would do it. So, on balance I think we're talking about December-January being free to sell.
Unidentified Analyst: And what - I mean is that a big process, I mean, you appear before the World Health Organization or is it just all paper submission or what do you do from a procedure standpoint to get it approved?
Ronan O'Caoimh: I think to understand the WHO approval process. You just - it would very similar to the FDA process. So you make submission that take three or four months typically to review. They can ask questions they're more likely than the FDA to actually do a physical inspection. So, there - the process is fairly owners frankly, but it's equivalent to the FDA.
Unidentified Analyst: Okay. And you say you would be submitting I think before the end of the third quarter, right?
Ronan O'Caoimh: No, I mean, I think there is a bit to run on our trials, I think September is realistic for submission.
Unidentified Analyst: Okay. All right. And do you want to say anything more on your buyback program? I mean you didn't buy many shares this quarter, I'm just wondering one time you were going to be pretty aggressive on it and at these prices I'm just wondering what's your thinking is now about repurchasing shares?
Kevin Tansley: Well, first thing just to say, Bill, most of quarter one the vast majority we are actually locked out of the market by virtue of a close period. We didn't release our results until second week of March. So, that had a major impact in terms of purchasing. In terms of - I just know that you mentioned there that we have been - we said we will be aggressive in fact we bought back $2.5 million shares over the last couple of years, which is in access of 10% of the company shares. So we have been quite aggressive in that regard and I think at this particular juncture that affords us the ability to be more selective in terms of when we want to exactly do our pricing of our purchasing and obviously we'll be cautious surprise in that regard. So, the program remains in place and going forward we'll make purchases in accordance to how we feel the prices are.
Unidentified Analyst: Okay. Do you have any feeling you don't control the stock market, but what do you think the sudden drop in the last like 20 days have been for the stock. I mean, it was up to 650 and then it's been treasury going down before these earnings release it hit a low like 448, do you have any feeling of what's causing this, I mean, I don't what you can say publicly?
Ronan O'Caoimh: There is nothing we can say - to say publicly there is nothing that we are aware of that is actually causing that decrease. And just I presume it is the normal ebb and flow of the markets in terms of supply and demand where there is somebody purchasing or buying shares and the interaction between those two. But there's nothing specific that we are aware of that's driving the share price either up or down.
Unidentified Analyst: Okay, all right. Well, thank you.
Ronan O'Caoimh: Thanks, Bill.
Operator: Our next question comes from Matthew Reiner with Adirondack Funds. Please go ahead.
Matthew Reiner: Hi, guys. My first question is how many Premier estimates have you placed in total at this point?
Kevin Tansley: It's over 2,000.
Matthew Reiner: Over 2000.
Kevin Tansley: Yes, this quarter we did over 2,000.
Matthew Reiner: Okay. And then if we look at I guess maybe in established instrument and I'm not sure how long it takes where looks like a typical reagent sales or what kind of volume do you expect to go through that instrument one it's…
Ronan O'Caoimh: Within around $10,000 a year and just bear in mind that that would be a combination of instruments that we sell direct in both Brazil and the USA where we would get a higher price and it would be a combination also then of our instruments in Europe where we're selling to an intermediary Menarini and a combination of our instruments in China where we're again through distributors. And so - but on average if you take all of our instrument base it would be averaging about $10,000 per annum of reagent.
Matthew Reiner: Of reagent, okay. And then is it fairly quickly that it gets up to that kind of rate or does it take a little while to establish once an instrument is placed?
Ronan O'Caoimh: Well it depends on the market and instruments where we were replacing competitors instruments for example you would be right up there immediately. If you're going to a market like China it will take a while to develop in fact it continues to develop. So Chinese instruments are running less reagents they start off quite low and they may grow to 10% or 15% annually. Where I'd say instruments in the UK would be super busy instruments there is 280 NHS Hospitals. And so every instrument is probably doing $50,000, $60,000 a year. So it depends on the countries is the honest answer there.
Matthew Reiner: Okay. And then my last question was just how much is left on buyback program that you had announced, could you give a dollar amount on that at one point?
Kevin Tansley: We didn't give a dollar amount what we have is the ability to buyback 25% of our share of flows and that would have been in excess of 5 million shares as of the last AGM back in June of last year.
Matthew Reiner: Okay, all right. That's all I had, thank you.
Ronan O'Caoimh: Thanks very much, Matt. I think we appear to have no more questions at this time. So I think we will close our conference call and thank you very much for your support and interest. And look forward to talking to you next quarter. Good afternoon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.